Operator: Good morning. My name is Eric, and I'll be your conference operator today. At this time, I would like to welcome everyone to the ITW Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Karen Fletcher, Vice President of Investor Relations. You may begin your conference.
Karen Fletcher: Thank you, Eric. Good morning, and welcome to ITW's fourth quarter 2023 conference call. I'm joined by our President and CEO, Chris O'Herlihy; and Senior Vice President and CFO, Michael Larsen. Also with us today is Erin Linnihan who joined our Investor Relations team last month as Vice President. Erin, welcome to ITW. During today's call, we'll discuss ITW's fourth quarter and full-year 2023 financial results and provide guidance for full-year 2024. Slide 2 is a reminder that this presentation contains forward-looking statements. Please refer to the Company's 2022 Form 10-K and subsequent reports filed with the SEC for more detail about important risks that could cause actual results to differ materially from our expectations. This presentation uses certain non-GAAP measures, and a reconciliation of those measures to the most directly comparable GAAP measures is contained in the press release. Please turn to Slide 3, and it's now my pleasure to turn the call over to our President and CEO, Chris O'Herlihy.
Christopher O'Herlihy: Thank you, Karen, and good morning, everyone. In Q4, we delivered a solid finish to a year of high quality execution and face some pretty unique challenges, including slowing demand for CapEx, headwinds from customer and channel inventory reductions and an automotive industry strike. As a result, organic growth was essentially flat in the fourth quarter. Operating margin came in at 24.8% with 150 basis point contribution from enterprise initiatives and free cash flow grew almost 40%. GAAP EPS of $2.38 included $0.04 of unfavorable impact from the devaluation of the Argentine currency. Throughout 2023, the ITW team continued to leverage the strength and resilience of the business model and our high quality diversified business portfolio to deliver a year of strong operational and financial performance, including solid organic growth of 2% on top of 12% growth in both 2021 and 2022. Operating margin of 25.1% and an improvement year-over-year of 130 basis points. Income growth of 7% to a record $4 billion, after-tax ROIC of more than 30%, 50% plus free cash flow growth and GAAP EPS of $9.74. We delivered these results while investing almost $800 million to sustain productivity and accelerate our organic growth initiatives in our highly profitable core businesses. As we outlined at our Investor Day, our key strategic priority as we enter this next phase of our enterprise strategy in 2024 is to build above market organic growth fueled by customer-back innovation into defining ITW strength on par with our world class financial and operational capabilities. Turning now to our 2024 guidance. We are encouraged by what we are seeing in terms of demand across the majority of our portfolio, along with some meaningful improvements in both customer and channel partner inventory levels and input cost inflation, as well as continued progress on customer-back innovation.  For our usual process, our organic growth projection for 2024 of 1% to 3%, and our EPS guidance of $10.20 at the midpoint, reflect current levels of demand adjusted for seasonality. Operating margin is projected to improve by about a 100 basis points at the midpoint to a range of 25.5% to 26.5%. This includes another solid contribution of approximately a 100 basis points from enterprise initiatives. Before I turn the call over to Michael to provide more detail on the quarter and full-year performance as well as our guidance for 2024, I want to thank my ITW colleagues around the world. Their extraordinary dedication and commitment to serving our customers and executing our strategy with excellence and for their incredible support as I transition into the CEO role. Michael?
Michael Larsen: Thank you, Chris, and good morning, everyone. In Q4, the ITW team delivered a solid finish operationally and financially to a strong year for the company. Starting with the topline, the soft market demand for CapEx that we talked about on our Q3 earnings call continued into the fourth quarter. In addition, customer and channel inventory reductions and the automotive industry strike reduced our organic growth rate by approximately 1.5%, resulting in essentially Fed revenue and organic growth on a year-over-year basis. That said, we finished the year with stable to slightly improving demand on a sales per day basis, as evidenced by sequential revenue growth of plus 2.5% from Q3 into Q4 compared to our historical sequential growth of plus 1.5%. Foreign currency translation added 1.2% to revenue and divestitures reduced revenue by 0.4%. GAAP EPS was $2.38 and included $0.04 impact from the devaluation of the Argentine currency. On the bottom line, operating income was a Q4 record of $988 million and operating margin was flat year-over-year as enterprise initiatives of 150 basis points and 60 basis points of price, cost, margin benefit, net of year-over-year inventory revaluations were offset by a combination of growth investments including headcount ads, higher employee-related costs, such as wages and benefits, as well as increased restructuring expenses year-over-year. Free cash flow grew 39% to a fourth quarter record of 908 million with a conversion to net income of 127%. Overall for Q4, solid operational execution and financial performance in a pretty challenging environment. Please turn to Slide 4, starting with one of the highlights for Q4 and the year. Our free cash flow performance on the left side of the page. And as you can see, our full-year free cash flow was up more than a $1 billion to a record $3.1 billion as our inventory months on hand metric continued its slide path to pre-COVID levels. Now let's move to the segment results starting with automotive OEM, which led the way with organic growth of 8%, despite North America being down 9% due to the impact of the automotive strike. Meanwhile, Europe's organic growth rate was plus 11%, and China was up 31% driven by strong market share and penetration gains in the rapidly growing EV market. Operating margin was 19.2% excluding 160 basis points of headwind from higher 80/20 front-to-back restructuring expenses as the automotive OEM team continues to work toward its margin goal in the low to mid-20s over the next two to three years as outlined at our Investor Day. Looking forward, we expect automotive OEM to grow 3% to 5% in 2024, based on an assumption of essentially flat global auto bills year-over-year, plus our typical penetration gains of 2% to 3% and continued above market organic growth in China. Turn to Slide 5. Food equipment delivered organic growth of 3% against a tough comparison of plus 17% in Q4 last year. Equipment grew 1% and service was very strong, up 7% for the quarter. By region, North America grew 4% with institutional end markets up in the mid-teens, retail up mid-single digits and restaurants down in the high-single digits. Europe and Asia Pacific both grew 1%. Test and measurement and electronics, organic revenue was down 1% due to continued softness in semiconductor-related end markets. While test and measurement grew 5%, electronics declined 14%. Moving on to Slide 6. Slower demand in welding resulted in an organic revenue decline of 7%. Equipment was down 8% and consumables were down 6%. Industrial sales declined 11% versus a tough comparison of plus 23%. Commercial was down 2% and oil and gas was down 3%. Overall, North America was down 7% and international was down 6%. Polymers & Fluids, organic revenue declined 2% with our automotive aftermarket down 3%, Polymers grew 6% and Fluids was down 7%. Operating margin expanded 270 basis points to an all-time high of 28.5% for the segment. Turning to Slide 7. In a tough housing market, construction products, organic revenue declined 4% as North America was essentially flat with residential renovation flat and commercial construction up 3%. International markets have been soft all year and in the fourth quarter, Europe was down 9% and Australia, New Zealand was down 5%. Specialty products, organic revenue was down 5% as North America was down 6% and international declined 5%. Consumables were down 10% and equipment revenue grew 8%. Moving to Slide 8 and full-year 2023 results. And as Chris said, throughout the year, our colleagues around the world did an exceptional job of delivering for our customers and responding decisively to a challenging and volatile market demand environment. As a result of their efforts, ITW delivered record financial performance in 2023 with solid organic growth of 2% on top of 12% growth in both 2021 and 2022. Best-in-class margins of more than 25% and after-tax return on invested capital of more than 30%. And we delivered these results while continuing to fully fund projects to accelerate above market organic growth and sustain productivity in our highly profitable core businesses. We raised our dividend 7% and return more than $3 billion of shareholders in the form of dividends and share repurchases. Let's move to Slide 9 and our guidance for full-year 2024. And looking ahead, we definitely see some positives in terms of moderating headwinds in the external environment from supply chain, input cost inflation, and customer channel partner inventory reductions. But there are certainly some challenges, including lower automotive bills that I talked about earlier for example. For our usual process, our topline guidance of revenue growth of 2% to 4%, an organic growth of 1% to 3% is based on current levels of demand adjusted for typical seasonality and incorporate current foreign exchange rates. Operating margin is expected to improve by about a 100 basis points to a range of 25.5% to 26.5%, which includes a 100 basis points contribution from our enterprise initiatives. After-tax return on invested capital is expected to remain firmly at 30% plus, and we expect strong free cash flows again with conversion greater than net income. For 2024, we are projecting GAAP EPS in the range of $10 to $10.40, which includes headwinds of about $0.10 of higher interest expense and $0.20 of higher income tax expense with an expected tax rate in the range of 24% to 24.5%. In terms of cadence for the year, we expect our typical first half, second half EPS split of 49% and 51%. Our capital allocation plans for 2024 are consistent with our longstanding disciplined capital allocation framework that we discussed at last year's Investor Day. Our top priority remains internal investments to support the organic growth initiatives associated with the next phase of the enterprise strategy and sustained productivity in our highly profitable core businesses. Second priority is an attractive dividend that grows in line with earnings over time, which remains a critical component of ITW's total shareholder return model. Third, selective high quality acquisitions that enhance ITW's long-term profitable growth potential, have significant margin improvement opportunity from the application of our proprietary and powerful 80/20 front to back methodology and can generate acceptable risk adjusted returns on our shareholders' capital. And finally, ITW's surplus capital is allocated to an active share repurchase program as we plan to buy back $1.5 billion of our own shares in 2024.  Turn to our last slide, Slide 10 for our 2024 organic growth projections by segment. And as you can see, five of seven segments combined are projecting organic growth of approximately 4% at the midpoint, partially offset by some unique challenges in construction and specialty products. These segment projections are the outcome of the bottom up planning process that we completed in January, and a combination of several factors including current levels of demand, deep underground market and customer insights from our divisions, market share gain expectations, and the growing contribution from our customer-back innovation efforts and the associated new product launches in every one of our divisions. Consistent with ITWs continuous improvement, never satisfied mindset, every segment is projecting to improve their operating margin performance again in 2024 with another solid contribution from enterprise initiatives across the Board. So overall, we are heading into the first year of our next phase enterprise strategy, well positioned to continue to outperform in whatever economic conditions emerge as we move through 2024. With that, Karen, I'll turn it back to you.
Karen Fletcher: Okay. Thank you, Michael. Eric, can you please open up the lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tami Zakaria with JPMorgan. Your line is open.
Tami Zakaria: Hello. Good morning. Thank you so much. So my first question is, when we look at the annual guide, organic growth guide for 2024 for each segment, how should we think about these segment growth rates for the first quarter? Should it be similar to the annual guide, or do you expect any deviation from that in the first quarter and then maybe improvement throughout the year?
Michael Larsen: Well, I think, you'll see improvement in the year-over-year organic growth rates as the comparisons get easier as we move through the year. But by and large, the projections here track kind of typical seasonality from Q4 into Q1 and so forth. So there's really nothing unusual there. The other thing to keep in mind is while the guidance at the enterprise level is essentially based on current run rates as we talked about. It's a much more granular projection at the segment level, which includes also significant contribution again from new products as well as our normal pricing less drag from the inventory reduction that we've been talking about really all year. And so really give a better kind of number as we look at the segments. So that's how I would think about it.
Tami Zakaria: Got it. That's very helpful. And then it seems like the inside incremental margin for the year is in the 60% to 70% range, probably in the high 60 if my math is right versus normally 35% to 40%. So what's really driving this? Any specific segment you want to call up that may drive this overall high incremental for the year?
Michael Larsen: Yes. I think Tami, we've got fairly modest kind of revenue growth that we're calling for here, 1% to 3%. And our incremental margins embedded in the guidance are higher than our typical long-term 35% to 40%, which is what I would still use in terms of long-term modeling. The reason why is a 100 basis points contribution from enterprise initiatives that give us a higher incremental margin in 2024. As part of our planning process that I just described, we've now had a chance to go through all the projects and activities that contribute to a 100 basis points of enterprise initiatives, again in 2024. And I might add, these are largely independent of volume. So regardless of what volume does, we're seeing another significant contribution here, which is certainly a nice thing to have in your hip pocket in what we would describe still as a fairly uncertain and volatile environment.
Tami Zakaria: Got it. Thank you so much.
Michael Larsen: Sure.
Operator: Your next question comes from the line of Steve Volkmann with Jefferies. Your line is open.
Stephen Volkmann: Great. Good morning, everybody. I actually wanted to ask – excuse me – I wanted to ask the margin question a little bit differently, Michael, because if you have a 100 basis points from enterprise, and that's kind of the total that we're looking for, I suppose there must be some offsets in maybe some other costs or something because we're not really getting underlying incrementals. We're sort of getting it all from the enterprise initiatives, if you follow me. So just any detail on that would be great.
Michael Larsen: Yes. So I think the math is actually pretty simple for 2024. So we've got some volume leverage at that 2% to 4% revenue growth, maybe just round numbers, maybe that's about 50 basis points. The enterprise initiatives add about a 100 basis points. We're entering into what we would describe as a normal price cost environment at this point. And so there's like a modest positive contribution from our price cost efforts. And then the offset is really our continued investments in growth, including some headcount, some employee-related cost, wages and benefits, even though those costs are moderating in 2023 that's still is approximately a 100 basis points of headwind, which then gets us to that midpoint of 26% in 2024. And I might add, well, on our way to our 30% target here by 2030 that we talked about at Investor Day.
Stephen Volkmann: Super. Okay. Thanks for filling that in. And then maybe if I could just follow-up, the food guide, the bottoms up food sort of outlook of 3% to 5% seems like a bit of an acceleration from sort of recent trends, and we don't have super easy comps, I don't think. So what are you seeing in that end market?
Christopher O'Herlihy: Yes. Sure, Steve. So on Food Equipment, projecting 3% to 5% growth next year, really on the back of a few different aspects. Firstly, as always, with Food Equipment, it's a very fertile environment for innovation. So we see several new product launches across all product categories. We would expect less channel destocking Food Equipment in 2024. And also I would say we have a continued recovery in service. As I think, service is about one-third of our revenues in food. We're the only major manufacturer with that captive service business and service is a business that's still in recovery pretty much from COVID, equipment has recovered, but we will see probably the final year of recovery in service in 2024, and all that is adding up to a 3% to 5% growth rate in food next year.
Stephen Volkmann: Understood. Thank you.
Operator: Your next question comes from the line of Andy Kaplowitz with Citigroup. Your line is open.
Andrew Kaplowitz: Good morning, everyone.
Christopher O'Herlihy: Good morning.
Andrew Kaplowitz: Michael, when we look at your 1% to 3% organic growth forecast for 2024, you have a nice acceleration dialed into for your CapEx businesses such as welding and T&M. You're saying you're basing your guidance and current run rates. So you obviously did mention some improvement in sequential demand in Q4. Could you give us more color on what you're seeing in these CapEx businesses that's allowing you to forecast what you're forecasting? I would imagine you're dialing an improvements in semicon and electronics, for instance, in T&M, but that goes into now what you usually do. I'm just curious as to what's flushing out.
Michael Larsen: Well, I think, like we've said, really most of the year we've seen some slowing in demand for CapEx and certainly in Q3 and Q4. I think as we go into 2024, as Chris just said, we've got less headwind from these customer and channel partner inventory reductions that were drag of about 1% in 2023. We have a meaningful contribution and increased contribution from new products, given all the efforts around customer-back innovation that we're driving. And then we have normal pricing, and you put all of that together and just based on, I think as you point out, it was encouraging that we saw a pickup in the sequential revenue per day from Q3 to Q4, that I think tells you that there's certainly some stability here and some of the headwinds I just described are maybe mostly behind us. We expect still a little bit of headwind from these inventory reductions as we go through the first half of the year. I think of it – we're working through our own inventory levels here and we expect to reduce our inventories in the first half. We think our customers and channel partners maybe doing some of the same, but it'll be less of a headwind here in 2024. So you put all of that together, I think you're an environment where things are pretty stable. Test and measurement you mentioned semi, it's less than 3% of our revenues. There is an expectation of a modest market pickup here in the second half. We expect to gain share and launch new products in this space. So we'll grow a little bit faster than market there. But overall, we're not expecting a big recovery in demand or the economy to pick up in the second half. This is basically based on kind of current run rates. The one outlier I'll just reiterate is automotive, we're going from a build environment in 2023, that was up in the high-single digits. We expect that to be about flat. And so the growth in automotive is all from penetration gains and continued market share and innovation in China which has been an incredible contributor to our overall growth rate and will remain so for the foreseeable future.
Andrew Kaplowitz: Very helpful color, Michael. And then Chris or Michael, you mentioned unique challenges in specialty equipment and construction products. Maybe you could elaborate on what you're seeing in these segments. Doing more PLS in specialty, for example, what's the outlook or frame the outlook for 2024?
Christopher O'Herlihy: Yes. That's correct, Andy. In terms of specialty particularly, we're doing some strategic portfolio work there heavier, I would say amount of product line pruning than we normally expect in a normal maintenance environment. We're doing quite a bit more on specialty really to position that segment for long-term growth of 4% plus. So that's what's going on there, and we're pretty pleased with the progress around that. On construction, it is very much a market story. I mean, obviously, all three main markets for us, North America, Western Europe, and Australia and New Zealand are all forecasting significantly declines in housing bills next year, that will be 11% in North America, mid-single digits in Europe and high-single digits in A and Z. So that's really what's impacting the construction business.
Andrew Kaplowitz: Helpful, guys. Thank you.
Christopher O'Herlihy: Thank you.
Operator: Your next question comes from the line of Joe O'Dea with Wells Fargo. Your line is open.
Joseph O'Dea: Hi. Good morning. Thanks for taking my question.
Christopher O'Herlihy: Good morning. Yes.
Joseph O'Dea: So I mean, you talked about the daily sales rate from Q3 to Q4. It sounds like overall customer tone is perhaps getting a little bit better. You're talking about adding some headcount. Can you just expand a little bit on customer conversations over the last several months to understand a little bit better sort of the verticals where you see some of that uptick happening, and then where you are adding headcount within the business?
Michael Larsen: Yes. I mean, I think the tone from customers has been pretty cautious all year, particularly on the CapEx side of things as we talked about. If you go back to our Investor Day last year, we talked a lot about accelerating our efforts to drive high quality above market organic growth primarily fueled by, as Chris said earlier, our customer-back innovation efforts. And so those are the areas, all growth related headcount ads that we're making to make sure that we have all the capability we need in terms of innovation, commercial, sales and marketing resources to drive continued progress and deliver on our above market organic growth commitments.
Joseph O'Dea: Got it. And then on the channel inventory side of things, can you just talk about the visibility that you have and any context on how maybe elevated those inventory levels got during supply chain constraints? Where you think they are now relative to normal? It sounds like you think first half of this year you could still see customers doing a little bit of work to trim inventories.
Michael Larsen: Yes. I think by and large, if you go back historically, we haven't had great visibility to the levels of inventory in the channel and with our customers. I think we have much better visibility today, given that we've been talking about it all year. Overall, it's been a drag of a percentage point on our growth rate for the year. It was 1.5% in Q3, 1% in Q4, and I think several of our segments, we are back to kind of normal inventory levels and this is largely behind us. And then there's maybe a few other areas where there might be some continued, but certainly less headwind as we go into Q1 and Q2. And then I think at that point, we'll give you an update. I think we'll be able to say this is now completely behind us.
Joseph O'Dea: And so with respect to the growth outlook that there's no real inventory – notable inventory headwind within that growth range?
Michael Larsen: Well, there's a little bit. I mean, obviously if you look at our run rates, it is included in our run rates at a higher level than what we might reasonably expect. So if that plays out the way we expect, that would be certainly favorable to the run rate and to the guidance that we just gave you.
Joseph O'Dea: Understood. Thank you.
Operator: Your next question comes from the line of Andrew Obin with Bank of America. Your line is open.
Sabrina: Hey, good morning. You have Sabrina Abrams on for Andrew Obin.
Michael Larsen: Hey, Sabrina.
Sabrina: As we think about pricing into 2024, are there any segments or any particular businesses where on the margin you're seeing more competition and pricing competition as cost moderate?
Michael Larsen: Well, I think, Sabrina, we've talked about this before, we want to maintain our price premium based on the quality and the customer service, the lead times that ITW is uniquely positioned to provide, but we also want to compete and we want to gain market share. That's kind of central to our overall enterprise strategy and the focus I just talked about around organic growth. So that's said, I think we expect a normal contribution from price here in 2024. These inflation-driven price increases are now behind us. Input cost inflation, that big wave we've been dealing with, as we sit here today, we'd say is largely behind us. And so we're entering into a normal pricing environment across the portfolio. I think that is a fair statement. If you just look at, we've now essentially recovered the margin impact from that price costs, the price cost dynamics, and we're entering into a normal environment in 2024.
Sabrina: Thanks. And then as a follow-up on welding, what is driving the reacceleration in growth there from down 6% in 4Q? And how are you thinking about margins in the segment in 2024 given where you're exiting the year and the sort of margins you reported in 2023 here?
Christopher O'Herlihy: Well, I think welding, so we're not counting on a market acceleration, just to be clear. This is if you look at in a normal market environment, just assume for a minute, let's assume the market is flat. The contribution from new products and normal price very quickly gets you to something in the low-single digits. So I just want to be clear around that. The other thing I'd say, just on the margins. We talked a little about the year-over-year inventory revaluations. That's what caused the margins to drop in the fourth quarter, below 30%. And we expect that to be back above 30% here in the first quarter as that one-time kind of year-over-year inventory impact is behind us. So we would expect margins to kind of remain in that 30% plus as we go through 2024. And as I said earlier, that's not unusual. Every one of our segments told us as part of this bottom up planning process that they are on target to improve their operating margin performance in 2024.
Sabrina: Thanks. I'll pass it on.
Christopher O'Herlihy: Yes. Thank you.
Operator: Your next question comes from the line of Steven Fisher with UBS. Your line is open.
Steven Fisher: Well, thanks. Good morning.
Christopher O'Herlihy: Good morning.
Steven Fisher: This has been asked in a few ways about the segments, but really just trying to think about the 1% to 3% organic growth in the context of your sort of 4% to 7% CAGR through 2030. I guess what's the buildup of market growth and price versus market penetration and customer-back innovation? I know again, there's lots of different segment dynamics here, but when you roll it all up, are you basically assuming that it is kind of like flat markets and a couple of points of penetration and innovation. Is that the way to think about it?
Christopher O'Herlihy: Yes. I think it is. I mean, as we say, in our four to seven calculus that we outlined at our Investor Day, you have a contribution from market – contribution from market penetration, and the largest contribution is actually from customer-back innovation. And that's what we're seeing here in 2024 really across most of our businesses. As we used to think about growth, 2% growth last year on top of 2021 – or 12% growth in 2021 and 2022 and targeting 1% to 3% here on the path to four plus, is kind of how are outlining this. And I would say that it's a target and a goal that we're very confident on the basis that it's where the bulk of our divisions are spending their time. We're making progress, certainly more to do, but given the portfolio, given the fact that we've got plenty of room to grow in each segment, given the investments that Michael has been talking about that we've been making now for quite a few years in strategic marketing and innovation. We're really putting ourselves and building the muscle here to get into a position where we will grow 4% plus over the entirety of this next phase. And I think in terms of just capability build, if you think about this in the way that – the way we leaned into front to back 80/20 in the last phase of our strategy, that's the way we're leaning into innovation in the next phase of our strategy. The same level of rigor, scope, and capability building that we applied to front to back 80/20 in the first phase. We are now applying to customer-back innovation here in this next phase. And I would say we're very encouraged by the progress that we've seen on innovation over the last couple of years. It was a 1% contributor five years ago. It's now a 2% contributor on its way to 3% and beyond. And again, very encouraged by the progress that we're seeing across many of our divisions in terms of the qualitative work they're doing on innovation, but also in terms of the quality of the innovation pipeline across all seven segments.
Steven Fisher: That's really helpful. And just to follow-up, sort of the macro level of the pace of economic growth seems to be diverging between Europe and North America increasingly. So can you just give us a sense of what you've factored in on the European economy and how you're thinking about that? I know you talked about the construction side, and I guess similarly on China, how are you thinking about China in 2024 sort of a net positive for you, I think in 2023, maybe different for some other companies. So how are you thinking about that in 2024?
Christopher O'Herlihy: Yes. I think in our overall guidance here of 1% to 3% organic, that's where you'll find all the major geographies. So North America, in that low single-digit, 1% to 3% range. And Europe kind of similar to North America, definitely we've seen some challenges on the construction side as you pointed out, but kind of you put it all together, it's in that one to three range. And then the China is more positive, but that's really driven by the automotive business, which is more than half of our revenues in China. So we expect another double-digit type growth for the auto business in China. And that takes China to kind of the mid single-digit range in 2024.
Steven Fisher: Really helpful. Thank you so much. 
Christopher O'Herlihy: Sure.
Operator: Your next question comes from the line of Julian Mitchell with Barclays. Your line is open.
Julian Mitchell: Thanks very much and good morning.
Christopher O'Herlihy: Good morning.
Julian Mitchell: Maybe – and apologies if I'm somewhat retreading some worn ground already, but just trying to understand on the revenue outlook again, because it sounds like you had suffered from some destocking in 2023. You're assuming that destocking continues Q1 and Q2 or you're seeing that destocking continue as we speak. But you sound confident on the sort of sell-through, I suppose and so the guidance embeds your selling recouples upwards to sell through in the second half. So I just wanted to make sure, is that the right way of thinking about it? And when you're thinking about sell-through right now, is your sense from your salespeople and the bottom up work that you mentioned that the sell-through in most of your markets is sort of better now than a few months ago. Just trying to understand that, please?
Michael Larsen: I'd say it's about the same, Julian. I mean, I think we – as Chris said, we just delivered 2% organic growth in 2023 in a pretty challenging environment as we talked about. And that included a point of inventory reduction impact. And I might add a point of drag from semi since it came up earlier. So if those two don't repeat, which is what we're saying, then you go from 2% to 4% pretty quickly. And we're not saying that destocking continues at the same level in the first half, which I think is what you said. We do expect it to be less of a drag in the first half. We also said the comps year-over-year are certainly more challenging in the first half than they are in the second half. So I think we're confident because when we look at everything going on inside the company and this focus on driving above market organic growth, a big focus on customer-back innovation, we look at the pipeline and new products that are being launched in every one of our divisions across the company. We look at a kind of a normal pricing environment. We feel pretty confident based on what we're seeing, as we sit here today. Now, we also said this is a pretty uncertain and volatile environment, things can change quickly. And so the thing that we have a lot of confidence is our ability to continue to read and react to whatever conditions our divisions are dealing with on the ground and deliver strong performance as we go through 2024. So we're not economists. We're not trying to forecast where the global economy is going. We're kind of basing our guidance on all the things we just talked about. And that's how we end up in that 1% to 3% range for 2024, which to us doesn't seem like a moonshot based on everything we just talked about.
Julian Mitchell: That's helpful. Thank you. And then maybe switching away from the topline. On the margin front, I think in an earlier question reply, you mentioned sort of higher investments offsetting enterprise initiatives. So there's a couple of things on margin. One was, are we seeing a big increase in R&D and/or CapEx this year and any color on those as a sort of external benchmark for that reinvestment rate? And then price cost, I think a big first half tailwind for you maybe on margins this year. Just wanted to sort of any sense of scale for that.
Michael Larsen: Yes. Price cost, I think we're kind of in a normal environment for 2024. It's not going to be a material driver of our performance. It'll be a modest contribution to margins and EPS in 2024 based on everything that we know today from a pricing and inflation standpoint. In terms of the investments, I think, our investments grow in line with our sales over time, and that's true both for customer-back innovation, it's also true for our capacity CapEx improvements that – that are all of these investments, about $800 million in 2024 are geared and centered around driving above market organic growth in every one of our divisions. And the biggest headwind, I think to margins this year was not so much the investments necessarily not just in growth, but we saw inflation in our employee-related costs just like everybody else including wages and benefits. And we expect that part of the equation to moderate here in 2024 based on some of the actions we're taking to manage those costs in 2024. So that's not going to be an increased headwind as we go forward.
Julian Mitchell: Thanks very much.
Michael Larsen: Sure.
Operator: Your next question comes from the line of Mig Dobre with Baird. Your line is open.
Mircea Dobre: Thank you for taking our question. Good morning.
Christopher O'Herlihy: Good morning, Mig.
Mircea Dobre: On the topic of outgrowth, it sounds like you're seeing about 2% this year. You're aiming for maybe 3 percentage points. I guess what I'm curious, when you're looking at your portfolio, presumably we don't have this outgrowth notion being sort of evenly distributed, what portions of your portfolio are generating outgrowth at the pace that you need it to be? And where else do we need to see further investment or further adjustments needed to be made?
Christopher O'Herlihy: Yes. So Mig, I would say that, we're probably seeing our growth across most of our portfolio. I would use, auto as an example, think about flat bills in 2024. We're talking about 3% to 5% on auto as an example. We've historically outgrown in food equipment. As I think, if you look at some of the comparisons and so on. Also with welding and with construction, large down market here in 2023 which we outgrew, so we have the capacity to outgrow across much of our segment. And with respect to investments, I think we've been making these focused targeted investments for some time now. This is not new news. This is something we've been doing for a few years to really position ourselves to grow at 4% plus across the enterprise over this next phase. And I think the big driver of that, as we said a few times is customer-back innovation, is leaning on customer-back innovation that we've been working on for a couple of years, and we'll accelerate over this next phase. And that's really what will drive the outgrowth going forward. And that customer-back innovation opportunity resides in every segment on the basis of the level of differentiation in every segment, the share runway opportunity we have in every segment. So we would expect every segment in time to meaningfully contribute to that 4% plus organic growth.
Michael Larsen: I would just add to that, Mig. We've talked a lot about the individual segments today. I think you got to look at ITW as the beneficiary of a highly diversified, high quality portfolio. All of our segments with margins in the high-20s, we're working through automotive, and so you're always going to have some puts and takes, which is what we're talking about. But this portfolio really gives us a level of resilience and a real competitive advantage relative to others, and puts us in a great position to perform, continue to perform at a high level in any type of demand environment over the long-term. Now, we never said that we were going to be the fastest grower. There's always going to be certain end market trends, whether it be aerospace or electrification or whatever it maybe. But you put this portfolio together in its totality. We have all the firepower that we need to deliver a 4% plus average annual organic growth as we go forward. And by the way, five of our segments are doing that, as we said earlier in 2024. So I wouldn't lose sight of the fact that, we're a business model centric company and a huge beneficiary of this high quality diversified portfolio.
Mircea Dobre: Understood. Then my follow-up, maybe a question on M&A, Chris, love to get your thoughts on this and maybe how you think about using M&A as a potential tool to generate this outgrowth that you're talking about? Thank you.
Christopher O'Herlihy: Yes. Sure, Mig. So effectively, we are very much sticking to our disciplined portfolio management strategy, which is very consistent in terms of – we are certainly interested in high quality acquisitions where we can find them that extend our long-term growth potential to grow at a minimum 4% plus at high quality. That's the primary kind of lens, we look at acquisitions. We've been able to leverage the business model to improve margins. And so we certainly review opportunities on an ongoing basis, but we're pretty selective here about acquisitions, given the fact that we believe we've got a lot of organic growth potential that we're going to execute on here over the next few years. If I think about MTS as an example of the typical – attractive candidate, we look at and ticked all the boxes in terms of strategic attraction, in terms of differentiation, solving customer pain points, opportunity to leverage the business model to improve margins. And having owned that business now for just over two years because we stuck to the characteristics that we believe in with respect to acquisitions. This is an acquisition that's turning on to be a home run and will be a great ITW business in the long-term. So it's a real blueprint for how we think about acquisitions and how we'd be thinking about acquisitions going forward.
Mircea Dobre: Appreciate it. Thank you.
Christopher O'Herlihy: Sure.
Operator: Thank you for participating in today's conference call. All lines may disconnect at this time.